Operator: Greetings, and welcome to Rand Capital Corporation Fourth Quarter Fiscal Year 2024 Financial Results. At this time, all participants are in a listen only mode [Operator Instructions]. As a reminder, this conference is being recorded. It is now my pleasure to introduce Craig Mychajluk, Investor Relations for Rand Capital. Thank you. You may begin.
Craig Mychajluk: Thank you. And good afternoon, everyone. We appreciate your interest in Rand Capital and for joining us today for our fourth quarter and full year 2024 financial results conference call. On the line with me are Dan Penberthy, our President and Chief Executive Officer; and Margaret Brechtel, our Executive Vice President and Chief Financial Officer. A copy of the release and slides that accompany our conversation is available at randcapital.com. If you're following along with the slide deck, please turn to Slide 2, where I'd like to point out some important information. As you are likely aware, we may make forward-looking statements during this presentation. These statements apply to future events that are subject to risks and uncertainties as well as other factors that could cause actual results to differ from where we are today. You can find a summary of these risks and uncertainties and other factors in the earnings release and other documents filed by the company with the Securities and Exchange Commission. These documents can be found on our Web site or at sec.gov. During today's call, we'll also discuss some non-GAAP financial measures. We believe these will be useful in evaluating our performance. You should not consider the presentation of this additional information in isolation or as a substitute for results in accordance with generally accepted accounting principles. We have provided reconciliations of non-GAAP measures with comparable GAAP measures in the tables that accompany today's earnings release. With that, please turn to Slide 3 and I'll hand the discussion over to Dan. Dan?
Dan Penberthy: Thank you, Craig. And good afternoon, everyone. This past year was marked by significant progress in our strategy. We delivered strong results, enhanced our portfolio composition, strengthened our balance sheet and increased returns to shareholders. I believe that our disciplined execution and strategic capital deployment have both positioned Rand for sustained long term growth. I want to take a moment to recognize and thank our team for their hard work and dedication in executing our strategy and helping to deliver these strong results. In the fourth quarter, total investment income rose 11% to $2.1 million, bringing full year investment income to $8.6 million, an increase of 17% from the prior year. This growth was driven by our focus on expanding our debt investment portfolio, which not only enhanced income but also improved earnings stability and predictability. Although, we will always have some portfolio risk of churn or rather that is unexpected or early repayments. Our net asset value per share increased 7% year-over-year reaching $25.31 at year end. These results reflect our commitment to our investment strategy and careful management of a $71 million portfolio. A key component of this strategy has been the ongoing shift over the past few years towards a more income generating portfolio. Debt investments now comprise 75% of our portfolio, up from 64% in 2023, contributing to improved yields and a more consistent earnings profile. We also strategically monetize select equity investments, including the sale of SciAps. We've exited our remaining publicly traded securities and received some loan repayments. These have generated approximately $27 million in cash proceeds. A portion of these funds were redeployed into approximately $14 million of income generating assets. We also took deliberate steps to fortify our financial position by reducing outstanding bank debt by $15.7 million during the year. As of year-end, we had over $24 million in available credit facilities, providing us with flexibility for future investment and growth. In line with our commitment to shareholder value, we increased our regular quarterly cash dividend by 16% in the second quarter of 2024. And total dividends declared for the year reached $5.03 per share, driven largely by realized capital gains during the year. Looking ahead, I believe that Rand's financial strength will have us well positioned to capitalize on new opportunities. With strong liquidity and a proven capital deployment strategy, we are prepared to expand our investment income even further. Additionally, we are monitoring macroeconomic trends, including potential interest rate reductions, which if they happen, could enhance portfolio performance with lower interest expenses and improved profitability. Our focus remains on creating long term value for our shareholders by prudently allocating capital and managing our portfolio effectively. As highlighted on Slide 4, our success in achieving these strategic objectives over the past few years has translating into meaningful benefits for our shareholders. Since 2021, we have steadily increased dividends with quarterly dividends that once started initially at $0.10 per quarter and now are pacing at $0.29 per quarter. Our recent fourth quarter dividend was outsized and driven in part by the successful sale of SciAps during 2024. In total, we declared $4.20 per share or approximately $10.8 million dividend in the fourth quarter. This included $0.84 per share in cash dividends and a $3.36 per share stock dividend, leading to the issuance of approximately 389,000 new shares. Following this distribution at the end of January 2025, Rand has nearly 3 million shares outstanding. We recently announced our Q1 2025 dividend, and Margaret will provide the details shortly. Our commitment to a robust balance sheet and optimized portfolio and a strategic capital deployment gives us confidence in our ability to continue delivering meaningful returns for our shareholders well into the future. Turning to Slide 5, please. You will see our portfolio's distribution between debt and equity along with the recent changes. Our portfolio now stands at a fair value of $70.8 million across 22 businesses. This reflects an 8% decline from the year end 2023, primarily driven due to the successful exits from SciAps, which I had mentioned along with the stock sales and loan repayments from other portfolio companies. While we have seen an overall strengthening in many of our portfolio companies, we remain mindful of the challenging economic and political environment and consumer spending habits, which has impacted certain business operations. We have addressed some of these challenges in our fourth quarter valuations and are hopeful about future recovery in the years ahead. In the bar chart on the bottom left, you can see that during the year our portfolio companies decreased from 30 to 22, which I previously mentioned and this was largely due to monetizing our publicly traded stock holdings. With the close of the SciAps transaction, we have made substantial progress towards our goal of a more debt focused portfolio. Currently, 75% of our investments are in debt, a target ratio which we have been striving for. The annualized weighted average yield of these debt investments including PIK interest or payment in kind was 13.8% as of December 31, 2024, an increase of 20 basis points over 2023. The remaining 25% of our portfolio is comprised of equity investments, warrants or direct equity purchase in private companies. Many of these, by the way, are legacy investments. Moving forward, it will be rare for Rand to make a direct private equity investment without a related subordinated debt component that provides an interest yielding return. This is a key focus of the company at this time. Slide 6 highlights our investment activity during the fourth quarter as well as notable transactions for the full year. During Q4, we made one new investment of $2.9 million into Mobile IV Nurses Management, LLC. This investment included a $2.5 million term loan at a 14% interest rate plus 1% PIK or payment in kind alongside a $375,000 equity investment into the company. Mobile IV nurses is a growing provider of mobile IV hydration and vitamin therapy services and we believe this investment aligns well with our focus on income generating assets with a strong upside potential from the related equity investment. Additionally, during the period, we successfully exited our investment in Nailbiter, receiving full repayment of a $2.25 million debt instruments. Looking at the full year activity, our most notable transaction was the successful sale of SciAps, which generated $13.1 million in total proceeds and a realized gain of $7.7 million. SciAps was one of our long time legacy portfolio holdings and early stage investment made over a decade ago, which ultimately contributed largely to the $4.20 per share dividend, which we declared in Q4. Additionally, we continue to refine our portfolio throughout the year '24 by selling remaining shares of ACV auctions and liquidating our holdings in publicly traded BDCs. These generated total proceeds of $8.2 million. These capital recycling efforts allowed us to reinvest strategically, deploying $13.9 million across six transactions, again, with a strong emphasis on income generating debt investments. Our ability to execute on these transactions underscores our commitment to targeted capital allocation. Turning to Slide 7. You can see the evolving diversity of our portfolio and the shift in industry allocation since the end of 2023. Notably, our exposure to professional services increased from 42% to 48%, reflecting both new investments and the performance of our existing holdings. Additionally, consumer products grew as a proportion of our portfolio and now we have representation in the health and wellness sector following our investment in Mobile IV Nurses. Meanwhile, manufacturing and software saw a relative decline in portfolio mix due to the strategic portfolio adjustments and fair value updates. With the sale of our BDC stocks, they are no longer represented in the industry composition. We continue to prioritize a balanced sector diversified portfolio. This diversification is a key pillar of our investment strategy, helping to mitigate concentration risks while allowing us to capitalize on growth opportunities across many different sectors. By maintaining a broad risk across industries, we enhanced portfolio resilience, we ensure that we can navigate economic fluctuations and hopefully drive sustainable long term returns. As of year-end, Slide 8 highlights our top five portfolio companies. These collectively represent 52% of our total portfolio. Notably, Tilson remains our largest fair value investment at $11.5 million. This accounts for 16% of our portfolio. This valuation does reflect a slight decline from the prior quarter but underscores Tilson's overall strength and strategic importance within our holdings. We have been invested in Tilson for a decade. Tilson operates in the wireless and 5G mobile data sector. They design and build telecommunications networks, utilizing fiber and wireless technologies. The company's growth trajectory has been impressive, both operationally and in terms of our investment performance. With an initial investment or cost basis of approximately $3 million, our position now reflects $8.5 million in unrealized depreciation reinforcing the long term value creation of our investment strategy. This is one of our core holdings of our legacy investments. Alongside Tilson, Seybert's and Food Service Supply have been consistent names in our top five, while Mattison and Caitec moved up and ranking this year. These companies again exemplify the diversification and strength of our portfolio and we remain confident in their continued contributions to our long term growth. With that, I'll turn it over to Margaret to review our financials in greater depth.
Margaret Brechtel: Thanks, Dan. And good afternoon, everyone. I will start on Slide 10 and 11, which provide an overview of our financial summary and operational highlights for the 2024 fourth quarter and full year period. Total investment income for the quarter was $2.1 million, up 11% over last year's fourth quarter, driven by an 18% increase in interest income. For the full year, total investment income grew 17% or $8.6 million when compared to 2023, which reflects five new debt investments that we originated over the last year. Additionally, we experienced higher fee income, which is due in part to the collection of certain fees from our SciAps exit. Overall, the number of portfolio companies contributing to investment income was $25 million during 2024 compared with 26 companies during 2023. Total expenses were a credit of $376,000 compared with an expense of $1 million in last year's fourth quarter. The change was primarily due to a decrease in capital gains incentive fee expense as the recent period included a credit of $1.1 million in capital gains incentive fees compared with an expense of $64,000 for the fourth quarter of 2023. Adjusted expenses, which exclude capital gains incentive fees and is a non-GAAP financial measure were $678,000 in the fourth quarter of 2024 compared with $950,000 in the fourth quarter of 2023. The lower quarterly expense level reflected reduced interest expense of $276,000 given lower debt levels throughout 2024 compared with 2023. Full year total expenses were $4.8 million compared with $4.2 million in 2023. The change largely reflects an increase in incentive fee expense. Incentive fees are comprised of two components, an income based fee and a capital gain fee, both of which are contingent on meeting specified benchmarks. The income based fee is calculated quarterly based on a pre-incentive fee net investment income with a hurdle rate of 1.75% per quarter or 7% annualized. For 2024, this fee accrued at $178,000 with no similar expense incurred in the prior year. The second component of our incentive fee is the capital gains fee. According to GAAP, we are required to accrue capital gains incentive fee based on all realized and unrealized gains and losses. Given the recent performance of our portfolio and the realized gains, we recognized a higher accrual this past year. Excluding the capital gains incentive fee accrual, adjusted expenses, which is a non-GAAP financial measure, increased $451,000 to $3.8 million in 2024. Fourth quarter net investment income increased to $2.2 million or $0.86 per share compared with $962,000 or $0.37 per share in the fourth quarter of 2023. On an adjusted basis, which is a non-GAAP financial measure and excludes the capital gains incentive fee accrual expense, net investment income was $0.45 per share, up 13% from $0.40 per share in last year's period. For the full year period, net investment income per share was $1.33, which is an increase of 15% over 2023. Excluding the capital gains incentive fee accrual, which is a non-GAAP financial measure, adjusted net investment income per share increased 18% to $1.72 in 2024. On Slide 12, you will see a waterfall graph illustrating the change in net asset value for the year. As of year-end 2024, net assets totaled $65.3 million, representing a 7% increase from the end of 2023. This change was primarily driven by higher net investment income and a net realized gain of $11.1 million from sales and dispositions of investments, which was partially offset by $5.7 million net decrease in unrealized depreciation on investments. Rand declared $4.3 million in cash dividends to shareholders during 2024, of which $2.1 million was paid in 2024 and $2.2 million was paid to shareholders in January of 2025. Overall, the net asset value per share as of December 31, 2024 rose 7% to $25.31 from $23.56 last year. As highlighted on Slide 13, we continue to have a strong balance sheet and significant liquidity that positions us well for future investments. Total assets decreased by 11% to $72.5 million, primarily due to the sale of SciAps and included approximately $835,000 in cash at the end of 2024. Actions taken over the past year enabled us to significantly reduce outstanding under our $25 million senior secured revolving credit facility. As of year-end, our remaining borrowings stood at just $600,000 with an interest rate of approximately 8%. We believe our strategic shift towards income producing investments will support sustained higher dividend levels over time. Reflecting this confidence, we raised the declared its regular quarterly cash dividend by 16% to $0.29 per share in the second quarter of 2024. On March 03, 2025, Rand declared its regular quarterly cash dividend of $0.29 per share payable on or about March 28, 2025 to shareholders of record as of March 14, 2025. While the regular per share dividend is unchanged, the total dollar amount of the distribution has increased due to a higher number of shares outstanding following the fourth quarter 2024 stock dividend, which was distributed in January of 2025. And in fact, we are delivering a 15% increase in total dividends distributed to shareholders, demonstrating both the resilience of our business and our commitment to shareholder value. With that, I will turn the discussion back to Dan.
Dan Penberthy: Thanks, Margaret. Moving on to Slide 14 please. As we conclude today's discussion, I want to take a moment to reflect on what has been a year of significant achievement and strategic progress for Rand Capital. Throughout 2024, we strengthened our financial foundation by monetizing select equity investments, reducing outstanding bank debt and improving overall liquidity. These actions not only reinforce our ability to navigate evolving market conditions but also position us to capitalize on new high quality investment opportunities that align with our long term objectives. Looking ahead, we remain focused on executing this strategy to drive long term shareholder value. Our investment thesis remains grounded in disciplined capital deployment, proactive risk management and a clear commitment to income expansion. The lower middle market continues to offer compelling opportunities, including family owned businesses undergoing generational transitions. Many of these companies face succession challenges and our ability to provide flexible customized financing solutions alongside with equity sponsors positions us as a strong and reliable investment partner. Rand's strategic investment, our sweet spot rather, typically is deploying $3.5 million to $4 million in transactions, which generally are in the $15 million to $20 million total transaction size. This does set us apart in this market. We believe this focus on small leverage buyouts and private debt investments gives us a competitive edge as traditional banks rather pull back from lending in this space. Additionally, by leveraging syndication and co-investment strategies, we can mitigate risk while optimizing Rand's returns. From a financial standpoint, our outlook remains positive and strong. With our existing credit facility and a disciplined approach to capital allocation, we are well positioned to sustain our investment pace while maintaining flexibility to take advantage of new opportunities. Recent reductions in interest rates have already lowered our borrowing costs, which enhances profitability and further strengthens our ability to return capital to shareholders. A key advantage in executing our strategy is our partnership with our external manager, Rand Capital Management or RCM. The investment team as part of RCM continues to build a strong pipeline of potential investments, ensuring that we remain well positioned to deploy capital while maintaining a cost structure that efficiently scales with our portfolio. Through RCM and its affiliation with Boston based Callodine Group, we also gain access to deep investment expertise, broadening our reach in the lower middle market and reinforcing our ability to identify and execute on attractive opportunities. As we navigate 2025 and beyond, we are committed to expanding our income generating investment portfolio to drive higher net interest income and future dividend growth. At the same time, we will continue optimizing our portfolio holdings to achieve long term value while actively managing risk in response to overall economic and political uncertainties. Our strong governance and oversight to help our portfolio companies navigate these headwinds, enabling them to adapt to changing market conditions and emerge even stronger. We remain proactive in assessing potential macroeconomic shifts, credit risks, interest rate movements and ensure that we are positioned to capitalize on the events and seize attractive investment opportunities when they are presented. While challenges do persist, our investment approach and the overall diversified portfolio should help to provide resilience. We remain optimistic about the potential for recovery in the effective portfolio valuations, particularly if consumer spending and overall market conditions stabilize. At the core of everything we do is our unwavering commitment to our shareholders, and thank you for that. Our ability to generate sustainable long term value remains our top priority and we are confident that our strategy positions -- does position us well for continued success. Thank you for your time, your trust and your continued support. We look forward to updating you on our progress with our first quarter 2025 results in May and have a wonderful day.
Operator: Thank you. This will conclude today's conference. You may disconnect your lines at this time. And thank you for your participation.
End of Q&A: